Operator: Good morning. My name is Nadia, and I'll be the conference operator today. At this time, I would like to welcome everyone to America Movil's Third Quarter 2024 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there'll be a question-and-answer session. [Operator Instructions] Thank you. Now, I will turn the call over to Ms. Daniela Lecuona, Head of Investor Relations to begin.
Daniela Lecuona: Thank you. Good morning, everyone. Thank you for joining us today to discuss our third quarter financial and operating results. We have on the line Mr. Daniel Hajj, CEO; Mr. Carlos Garcia Moreno, CFO; and Mr. Oscar Von Hauske, COO.
Daniel Hajj: Hi, good morning. Welcome to America Movil third quarter financial and operating report, and Carlos is going to make a summary of the results.
Carlos Garcia Moreno: Thank you, Daniel. Good morning, everyone. Well, interest rates in the US and several other countries continued their downward trend in the third quarter, with 10-year US Treasury yields falling 85 basis points from the beginning of the quarter through mid-September to a low of 3.6%. The decline was driven by concern about the cooling US economy and its corresponding impact on the labor market. It prompted the Fed to finally declare its first discount rate reduction in 2.5 years, a period in which it brought about a 5 percentage point increase in such rate. Shortly after the end of the third quarter, 10-year yields have bounced back to more than 4% on the back of unexpectedly strong non-farm payroll numbers for September, wiping out half of the reductions that have taken place through mid-September. Throughout the quarter, Central Bank discount rates fell by 50 basis points in Mexico and Peru, 1 percentage point in Colombia, and 25 basis points in Chile, but were going up once again in Brazil by 25 basis points. In the third quarter, we added 1.8 million subscribers, of which 1.4 million were postpaid. These include regular subscribers as well as [Technical Difficulty] dongles and mobile devices. Austria contributed 430,000 of them, Brazil contributed 291,000, Colombia contributed 59,000, and Mexico 108,000 postpaid subscribers. Our prepaid segment obtained 468,000 net additions led by Colombia with 251,000, Eastern Europe with 213,000, and Argentina with 200,000, but registered 343,000 connections in Brazil and 136,000 in Mexico. In the fixed line segment, we connected 327,000 broadband accesses, 116,000 in Mexico, 59,000 in Brazil, and approximately 43,000 in Argentina and Central America. We disconnected 83,000 landlines and 30,000 PayTV units in the quarter. Mobile postpaid and fixed broadband continued to be the main drivers of access growth with 5.9% and 5.2%, respectively, year-on-year. Third quarter revenue totaled MXN223 billion with service revenue expanding 11.3% in Mexican peso terms and EBITDA 11.9%, partly reflecting the depreciation of the Mexican peso versus most of the currencies in our region of operations, with the notable exception of the Brazilian real, approximately 10% replication versus both the dollar and the euro, 8% versus the Colombia Peso, and 12% versus the Peruvian sol. At constant exchange rates, service revenue was up 5.5% year-on-year, an improvement on the 4.7% rate observed in prior quarter, while adjusted EBITDA increased 7.3%. Mobile service revenue growth accelerated somewhat from the prior quarter to 5.2%, posting its best performance in over a year on the back of postpaid revenue growth. On the fixed line space, service revenue rose 5.9%. Broadband revenue decelerated slightly from the prior quarter to 7.4%, and as corporate networks revenue expanded 10.1% faster than the precedent quarter. The decline in PayTV revenue continues but has become less and less significant. Brazil and Colombia continued the trend over the last year of posting improved steady revenue growth every quarter, while Central America presented better growth rates than in the preceding two quarters. Mexico and Peru maintained their pace from prior quarters. Our operating profit reached MXN47.4 billion. It was up 14.2% in Mexican peso terms and 10% at constant exchange rates. Adjusted for one-offs, as mentioned above, our operating profit increased 12% at constant exchange rates. We posted a net profit of MXN6.4 billion in the quarter, nearly trebling the one obtained a year before. It was equivalent to MXN0.10 per share or $0.11 per ADR, and came about on the back of a higher operating profit, as mentioned before, but also as comprehensive financing costs came down 4.8% relative to the same-period of 2023 to MXN28 billion. Our net debt ended September at MXN433 billion, having increased by MXN7.3 billion relative to December 2023, partly reflecting the impact of the depreciation of the Mexican peso on our non-peso financial obligations. In cash flow terms, our net debt increased by MXN19.7 billion. In the nine months to September, our capital expenditures totaled MXN86.7 billion, shareholder distributions MXN32.9 billion, split evenly -- almost evenly between share buybacks and dividend payments and we reduced our labor obligations in the amount of MXN23.7 billion, particular of these curtailments. Our net debt excluding leases to EBITDA after lease ratio ended September at 1.34 times last 12 months EBITDA, practically at the lower leverage limit that we committed to maintain in our Investor Day. And finally, I'd just like to highlight that we received our third ESG rating upgrade by MSCI in as many years, reflecting improvements on corporate governance, security, and data progress. With that, I would like to pass it back -- the floor back to Daniel. Thank you.
Daniel Hajj: Thank you, Carlos, and we can start with the Q&A.
Operator: [Operator Instructions] Our first question goes to Milenna Okamura of Goldman Sachs. Milenna, please go ahead.
Milenna Okamura: Hey, thank you for taking my questions. The first one is if you have any updated views on the competitive dynamics of the fixed broadband market in Mexico. And my second question would be on your CapEx guidance. Is your target for the year still at about $7.1 million? Thank you.
Daniel Hajj: The second question, can you repeat the second question? We don't hear you.
Milenna Okamura: Sorry, on the CapEx guidance for 2024.
Carlos Garcia Moreno: Well, on the CapEx, I think we are on target for this year. We said that we're going to do around $7.2 billion and that's our target and we are more or less on that range. So, no big difference on that. And on the dynamics, on the fixed broadband in Mexico, Oscar can talk a little bit about that.
Oscar von Hauske: Thank you. While the dynamics as you been seeing through these years, the competition has been increasingly very hard in Mexico. Telmex has been reactive with investments on upgrading the network and now 83.7% of the fixed broadband are already connected to fiber. And not only that, has been working to bundle different streaming videos in order to do packages that are really, really well receptive in the market. Even last week, we launched a new package that we increased the speeds. The entry-level speed from 50 to 80 with the same tariff and we include Netflix six months free. We include Claro Video and Claro Drive bundled in the package. So we believe that it -- I mean, we have one week of this product, and the reception, we see that is very good in the market. So, the competition is still, but I think we have raised the network in a good level to be really competitive in the market. Another segment that is working pretty nice in Mexico is the B2B market, and on the B2B market, all related to cloud computing, cyber security, horizontal solutions has been received very well in the market as well. So that lever us to improve revenues in entailments.
Daniel Hajj: Only to add something that Oscar is saying, just to be clear, I think we have been putting a lot of fiber the last years, but not only putting fiber, we have been upgrading our customers to fiber. And as Oscar is saying, maybe 85%...
Oscar von Hauske: 84%.
Daniel Hajj: 84% of our customers are with fiber, good speeds, good quality. IT has been improving a lot in Mexico. It's one of the things that we have been doing, improving IT, so we can give better customer service, install faster, and time to repair also faster. So we have been improving also on the quality of service. So, Mexico in fixed and in mobile, it's been very competitive. We haven't increased any price for a long time. We have been giving more for that and it's a -- but we feel that we have right now a very good advantage on the quality, capacity, on the networks, on the -- in the mobile, on the coverage, on the quality, and the centers -- customer care centers. So all overall, we think we're doing good in Mexico.
Milenna Okamura: Super clear. Thank you.
Operator: Thank you. The next question goes to Walter Piecyk of Lightshed Partners. Walter, please go ahead.
Walter Piecyk: Thanks. I think just first, if I can start with a macro question. Obviously, there's some questions, kind of what's going to happen going forward and into 2025. You have many data points in terms of what you're seeing with your customers, forget about Europe just throughout Latin America in terms of recharges and subscriber activity and upgrades of phones, can you just give us a general sense of kind of -- your kind of -- what you've seen most recently and what you think or what your outlook is for the coming quarter and 2025?
Daniel Hajj: Well, it's a very interesting question. I think I can divide into, prepaid is very different than postpaid. I think prepaid depends a lot on how the economies are doing in Latin America. So people once recharge depending on the money that they have -- the purchase power that they have, so that's one thing they need. There's a lot of prepaid that are moving to 5G in Mexico, in Latin America, so we have been putting 5G all overall, but depending a lot on the economy and the way the economy in each country is doing. And on postpaid, I think we have been doing very good. We have been upgrading our customers, giving them better handsets, more data, and they are paying more. So that's the trend that we have been doing for the last two years since we have been putting 5G, and I hope that this trend will continue the same way for 2025.
Walter Piecyk: So I think in the first part of your question, Daniel, you were saying that it does depend on the economy, so from what you've seen -- what you're seeing currently, the economy is still instigating, very good recharge rates on the prepaid side, that has not started to cool at all.
Carlos Garcia Moreno: If you look at rates of growth of our prepaid revenues, in Mexico, they were 4.1% in the quarter, last quarter was 4.3%, identical, a year ago, they were at 4.1%, so we haven't really seen as much slowdown as some people had expected to see it on account of slowing down of the economy. And as Daniel said, I think postpaid revenues are also holding up. So I think that generally, we have seen more sensitivity, I think probably in Brazil, because Brazil's economy has been accelerating sharply of late and that has had an impact in the sector, definitely. But for the most part, I think we are not seeing major changes. This is a very defensive industry, as you know, and revenue tend to hold pretty good in all GDP scenarios.
Daniel Hajj: Yeah, and a lot of things that you do, I think people need to use more of the phone and they are going to use more and more the phone. So if they can have a better phone, they can have 5G, faster networks, more data, that's what you are going to see in the next years, not only next year, so in the next years, everything is going to go through the phone.
Walter Piecyk: Thanks. And then just one quick technology question, follow-up, I guess. Could you just refresh us on who you expect to be your partners in terms of connecting your customers' phones to satellite constellations? I think you might have had -- maybe I'm wrong, but I thought you had an agreement with AST at one point. I'm just curious kind of how you see your market partnership there in terms of satellite direct connectivity to the phones of your customers throughout Latin America.
Daniel Hajj: Well, I think, what -- there is two partners, so what we're using right now, where we're using some partners, not only one. I think we have two or three partners, but the thing, we are always reviewing which partner is giving us the best services to connect in some rural areas, the cell sites. So for the mobile backhaul, we use satellite, and then there is the other part that is when we don't have any coverage there that the phone will connect there and that's -- so these two -- these two different services, we are reviewing right now. We already have in the first one connecting the cell sites two or three different vendors and -- but there is always -- we're always looking to have better quality and reduce costs, so that's moving every day. So I don't know exactly what we have -- which ones we have, Oscar, right now.
Oscar von Hauske: Well, we have Star One, we have Starlink, we have SpaceX, and we have AST -- we are doing AST as well.
Daniel Hajj: So, we’re using…
Walter Piecyk: For SpaceX, you have an agreement or you're exploring a possible agreement with Starlink?
Oscar von Hauske: We already have an agreement for resale.
Daniel Hajj: Their service and we are exploring an agreement so they can connect the backhaul.
Oscar von Hauske: We already use in Chile for mobile backhaul.
Daniel Hajj: Backhaul. Okay. Yes.
Walter Piecyk: Great. Thank you.
Oscar von Hauske: Thank you.
Operator: Thank you. The next question goes to Marcelo Santos of JPMorgan. Marcelo, please go ahead.
Marcelo Santos: Hi, good morning. Thank you for taking my questions. I wanted to double-click a bit on broadband dynamics. The first question would be in Mexico, you had good net adds, but it was a bit less than in the second quarter, is this because you had lower gross adds or because there was a bit of higher churn in the market? Just wanted to understand if the market is getting more competitive. And the second question is if you could comment on the competitive dynamics of Brazilian broadband. This is a more general question.
Daniel Hajj: Carlos? Take Brazil broadband.
Carlos Garcia Moreno: Yeah, we experienced on the second and third quarter a little bit more churn in Mexico attributed due to the economics. So yes, we've been seeing this for quarter in the same pattern that we had the last two quarters. And in Brazil, in broadband, we are the leaders in high-speed Internet in broadband. Even we were awarded the best WiFi in Latin America in Brazil, delivering our services. So we are the leaders of market share as well in Brazil. And as you know, there is a lot of competition from the ISPs, but we keep growing the base. We already upgraded all the data, all the network to deliver 1 gigabit speed to DOCSIS 3.1 and we have almost 11 million home passes with fiber to come. So I think we are very well-positioned. And another thing in Brazil is that we've been working in convergence that has been working pretty nice, adding things on mobile and PayTV. We've recently launched a new way to PayTV and it's combined with broadband, it's a new package of -- I won't call PayTV, I think it's a different product. It's like a more entertainment hub and what we did is to really include the channels that have more hour wins plus the Netflix with advertising plus Global Play plus Apple+ with very good, good conditions to the market. So that we believe that tie the broadband and we will keep going growing in broadband.
Daniel Hajj: And just to give you like a sense in Mexico, third quarter of '23, we do 20,000 net adds in broadband. Fourth quarter of '23, 165,000. First quarter of '24 this year, 325,000. Then, second quarter this year, 148,000. And third quarter 116,000. So we hope we can maintain this 100, 120 or 150 or 100 for the next quarter. So I think we're prepared, as we said, and it's a very competitive market. That's why we have also some churn because it's a very competitive market. But I think we were prepared to try to recuperate a little bit of the market share that we lose, we already did last year's.
Marcelo Santos: Okay. Very clear. Thank you very much for the answers.
Daniel Hajj: Thank you.
Operator: Thank you. The next question goes to Gustavo Farias of UBS. Gustavo, please go ahead.
Gustavo Farias: Hi, everyone. Thanks for taking my questions. Two from my end. First one, I was seeing some negative net adds in mobile in Brazil, of course, driven by prepaid. I just want to check what you guys expect in terms of trends going forward, and of course, in terms of competition in the region as well in the mobile specifically. And my second one is regarding, we've seen some increase in the net debt this quarter and if you could share some color on your debt strategy and how you're looking at FX impacts going forward as well? Thank you, guys.
Daniel Hajj: Well, let's start with Brazil. I think in Brazil, we're doing very good. We are moving a lot of prepaid subscribers to postpaid subscribers and that's the reason why we have a negative, as you said, but we have a very good and very positive trend in postpaid. Other thing is that we're trying to have our prepaid base very clean. So we want to have that. So we have been very aggressive if a customer is not consuming not to count as a customer, so that's what we are doing and there's a rule, but we have been very strict on that, and moving a lot of these prepaid to postpaid subscribers have been very successful. And the second question, which one is?
Gustavo Farias: Regarding how you're seeing the debt strategy and FX impacts going forward.
Daniel Hajj: Regarding what.
Daniela Lecuona: You have bad connection, Marcelo, can you please repeat the question or send it via chat or email to me?
Gustavo Farias: Yeah, of course, I can repeat the question. I'm just wondering what you guys -- how you guys see your debt strategy regarding FX going forward?
Carlos Garcia Moreno: See, well, hi, Marcelo. I think we are not really looking at taking on additional debt. As you can see, we have reduced our leverage. We have very limited refinancings to do next year. It's probably the year with the least amount of maturities that we have. It's probably less than MXN1 billion. I think that we have been doing -- very successful at trying to drive the growth of our Mexican global peso bonds and we've already issued in a bit more than a year, MXN55 billion, which well for this time go to $3 billion, and we expect that we can continue to consolidate this program. And we will also be looking at raising a bit more financing in some of our local markets. In fact, we've been doing a little bit of this in Peru, Colombia, and Brazil. So I think that's going to be more the strategy to focus a bit more on local currency generally. But again, it's basically in the context of refinancing existing debt, which we expect to -- roughly to maintain at same levels. We do have a...
Gustavo Farias: All right. Thank you.
Carlos Garcia Moreno: Short term debt and I think that's a variable that we can play with. We will be adjusting it downwards relatively in next few months.
Gustavo Farias: Thank you. Thank you, Carlos.
Operator: Thank you. The next question goes to Ernesto Gonzalez of Morgan Stanley. Ernesto, please go ahead.
Ernesto Gonzalez: Hi, thank you for taking our question. It's just one, can you please provide any color on your CapEx plans for Chile? Thank you.
Carlos Garcia Moreno: It's too early to see, as we said in our results, we're going to start to consolidate Chile 1st of November. We're going to have [92] (ph), so we're going to consolidate also the CapEx. We still haven't finished the CapEx for next year, so we don't know what the -- it's not going to be a big difference on what we have, so we consolidate the revenues. We're going to consolidate the CapEx, but it's not going to change too much the idea that that we have. So I don't have the final number, but it's not going to change significantly the CapEx that we have -- budget for next year.
Ernesto Gonzalez: Crystal clear. Thank you.
Operator: Thank you. The next question goes to Phani Kanumuri of HSBC. Phani, please go ahead.
Phani Kanumuri: Thanks for taking my questions. So the first one is that LatAm currencies have depreciated significantly in the last six months, so do you see any change in your shareholder remuneration or CapEx direction than what you did in your Analyst Day in May? The second question is actually on the constant-currency growth rate for the fixed broadband, you had given a number of 5.9%, wanted to check which countries have registered a better-than-average growth rate among your major countries. Thank you.
Carlos Garcia Moreno: We don't understand very good your question, but the second one, you said the average growth on broadband, I think the average growth -- the growth on broadband has been better every quarter, I think it's doing good. In each country, we have been doing good. I see -- I think, all overall, we are seeing a little bit less competition on this fiber companies that they…
Daniel Hajj: Wholesale.
Carlos Garcia Moreno: Wholesale networks that they do all around Latin America and that help us to be more aggressive and to increase our sales. And so on broadband, I think it's still low penetration in broadband in Latin America, and we're going to see good growth in the next years, okay, in broadband. And the first one, we don't understand what was your question.
Phani Kanumuri: So I think for the second question, like, so you had 5.9% fixed service revenue growth, but all the major markets that you had, including Mexico, Colombia, Brazil, all have registered a revenue growth that is lower than 5.9%, so I was just trying to understand which geographies have grown above the 5.9% fixed service revenue growth, and that's the first -- that’s the second question.
Daniel Hajj: We don't have it here, but you can discuss with Daniela and she can give you exactly where we are higher than 5.9% and where we are a little bit lower. But I think Brazil -- I don't know what's the growth in Brazil.
Daniela Lecuona: Our performance in Brazil 8.8%, Colombia 7.2%.
Daniel Hajj: Remember that broadband also includes corporate -- the corporate segment there. So, but you can talk to Daniela and disclose that.
Carlos Garcia Moreno: Very quickly, it's 8.8% for Brazil, 7.2% for Colombia, 15.7% in Eastern Europe.
Daniela Lecuona: 8.6% Central America.
Carlos Garcia Moreno: 8.6% Central America, yes.
Daniela Lecuona: And 10.9% in Dominican Republic.
Carlos Garcia Moreno: So that's fixed growth and growth of 7.4% for America Movil. On the corporate networks side, we have 10% for America Movil, including 12.8% in Mexico, 7.9% in Brazil, 14.1% in Colombia, and 7.5% in Central America.
Phani Kanumuri: Okay. I'll connect with Daniel on this. So the first question was that because you have seen depreciation of currencies in across LatAm in the last six months, is there any change in the view of shareholder remuneration or CapEx that targets that you had in -- during your Analyst Day in May?
Daniel Hajj: No. We don't have any change on CapEx. We've finished this year, so the CapEx for this year is done and we're reviewing the CapEx of next year, but we don't see any change on that. And also on the shareholder remuneration, we haven't had any difference also. So we're in the target that we have now. What was the buybacks that we have for all this year, Carlos? No, from January to today's, third quarter, how many we have?
Carlos Garcia Moreno: About MXN14 billion.
Daniel Hajj: MXN14 billion. Okay.
Phani Kanumuri: Yeah. Thanks. Thanks, everyone.
Operator: Thank you. The next question goes to Alejandro Lavin of Santander. Alejandro, please go ahead.
Alejandro Lavin: Hi, good morning, everyone. Can you hear me? Okay. Thanks for taking my question. So first of all, congrats on the results. I mean, you're seeing solid top line results. I mean now that currency was a headwind, now it's a tailwind, you're seeing rising profitability, stable CapEx, low leverage, so it sounds like the stars are sort of aligning for a very positive outlook for the end of next year, and especially all of next year, right? So congrats on that. And second, well, it seems that you have a very comfortable position in terms of competition in the LatAm region and maybe in other markets. So my question is regarding M&A possibilities, right? I mean, there are some opportunities in the very near term in LatAm, but in general, like strategically, what kind of assets or regions would you be looking at? Thank you.
Daniel Hajj: Well, I think on M&A, we're not seeing anything and we don't think we have any opportunities in Latin America in M&A, it's very difficult, we are over there. So in Latin America, we want to grow and put our CapEx and penetrate more and have the best technology and that's what we have been doing for the last three or four years. So what we have been seeing today is, everything that we do the last years, we have been digitalizing more the company. We have been taking care of our customer care. We have been very careful on costs and expenses. We have been upgrading all our platforms. We have the biggest 5G network in Latin America is America Movil 5G network. So all overall, we have the latest technology and that give us better quality, more speed, and better costs than our competitors. So that's more or less where we are focusing and that's what we are going to do for next year. So that's what we have been saying the last years. But no M&A planning right now. We are open to all the opportunities, but we don't have anything at right now. The only thing is consolidate Chile. That we're going to consolidate Chile and we have to work a lot there. There is a very, very competitive market there. So as we said, we have been upgrading all our mobile network. We have been making an agreement with the wholesale O*NET, the wholesale company. We also have fiber there. So we are finalizing all the mergers that we have with liberty and get all the synergies that we have there. So we are in a big process in Chile that we have for the next year.
Alejandro Lavin: Okay. Thank you. Understood. Congrats on the result.
Daniel Hajj: Thanks.
Operator: Thank you. The next question goes to Lucca Brendim of Bank of America. Lucca, please go ahead.
Lucca Brendim: Good morning, everyone. Thank you for taking my questions. I have two here. The first one on Colombia. Results accelerated this quarter, reached the three-year high in terms of service revenue growth, is this already reflecting somewhat a more rational market after the recent changes we saw in this region? And then the second one for Brazil, how are you seeing pricing dynamics in Mobile going forward? Is there still potential for further price hikes? And when we're thinking about ARPU expansion for next year, will be -- should you be focusing more on the upselling or indirect price hikes? Thank you.
Daniel Hajj: We're always focusing more on upselling our customers because if you upsell your customer, you give more to your customer and they pay you more, so I think it's much better upsell your customer than increase price, okay? I don't know what we're going to do in Brazil right now, but I think we are focusing more on upsell and giving more data to all our customers, moving prepaid to postpaid and that's I think that's the trend in Brazil.
Carlos Garcia Moreno: And in Colombia, just on the service revenue growth, I think it's important to highlight how it's improved, but it's not only mobile, it's been mobile and fixed. So just to give you an idea, first quarter this year, we were growing 0.4% in mobile and now we're growing at 4.0%. In free line, we were growing at 2% in separate venues, and today, we're growing at 5.2%. So I think it's important to see that this recovery is taking place all throughout the concrete, it's not only mobile, but it's being very meaningful.
Daniel Hajj: And only to add to something that Carlos said on Colombia is that we are the biggest network -- 5G network in Colombia. We take advantage of the frequencies, the auction, and we have been putting that for maybe eight months before the auction and it's been very -- we have maybe 20% of our traffic right now in 5G in Colombia, so that gives a very good quality and very good service to our customers and they spend more because they use more data.
Lucca Brendim: Very clear. Thank you for the answers.
Operator: Thank you. The next question goes to Carlos Sequeira of BTG Pactual. Carlos, please go ahead.
Carlos Sequeira: Hi, good morning. Thank you for taking my question. Today, we -- it's a quick, we model for AMX to generate a little more than $5 billion in free cash flow next year, and I was wondering with leverage close to the bottom of the range, is there any reason why you wouldn't return this free cash flow to investors in 2025, all of it or good part of it at least? Thank you.
Carlos Garcia Moreno: Hey, Carlos, well, as you recall, we met you guys at the Investor Day in May and we established a band for our leverage ratio, and we said the band was going to be 1.35 to 1.5 and we are exactly at the lower end of the band. So I think that -- as I had mentioned before, we don't really have any notion of continuing to reduce leverage much further than where we are, maybe a little bit on the short-term debts.
Carlos Sequeira: Okay. Perfect. Thank you.
Operator: Thank you. The next question goes to Carlos Legarreta of ITAU. Carlos, please go ahead.
Carlos Legarreta: Hi, thank you. Good morning. And I think my question in this case will be for Argentina, please. I would like to be reminded of what are your plans there in fixed revenue. Obviously, that's growing very nicely because I know that footprint is growing, and I know you're doing mostly fiber. So if you can talk a little bit about that and also how the wireless business polluting. Obviously, it was very positive this quarter, but some color on the market trends would be helpful. Thank you.
Daniel Hajj: Very good that you talk a little bit -- ask a question on Argentina. I think Argentina is doing okay. We have been still investing. We don't stop anything the last years on Argentina. So we put fiber when things doesn't look so good and we're growing -- how many customers on broadband we have right no?
Daniela Lecuona: [indiscernible]
Daniel Hajj: More than one million and we have been growing and having 1.4 million subscribers on broadband we have in Argentina -- no, September -- 1.6 million we have in Argentina. So we have been growing, it's still growing very good, and we are upgrading our network -- mobile network, and I hope Argentina will reduce more of the inflation and do better on the economy and then we're going to have a very good company there.
Carlos Legarreta: Thank you on the answer. And maybe…
Daniel Hajj: The third one -- sorry, we have been growing from being the third one in mobile. In customers, I think we are the first one right now. So I'm not so sure in customers. We are the first one -- almost the first one in mobile right now and growing in the digital.
Carlos Legarreta: Okay. Thank you. And how are your 5G plans? Do we have the necessary spectrum? Are you still waiting for an auction to happen?
Daniel Hajj: Yeah, we are putting 5G and we are putting more cell sites in 5G and that's the way we're going to grow there. So we're investing. We have a CapEx [indiscernible] focus on -- assigned to Argentina and we're doing all the things with the CapEx that we there.
Carlos Legarreta: Okay. Thank you for the update.
Daniel Hajj: Thank you.
Operator: [Operator Instructions] And the next question goes to Camila Koga of BBI. Camila, please go ahead.
Camila Koga: Hi, guys. Thanks for taking my question. My connection is not good, so I apologize if you have already answered this. I have a quick one on the [regional] (ph) investment bank. If you could give us more details about it. I want to know -- I want to have an idea of how aggressive Nubank can be if the agreement the bank short cut prices lower than [indiscernible] prices? Thank you.
Daniel Hajj: Look, we don't hear you very well, but let's -- I'm going to add a little bit on the other question, the last question that they asked me is talking about Argentina, because we always talk a lot on Mexico, Brazil, and Colombia, what I think all around America Movil, we have been doing very good. If we talk about Peru, in Peru, we have been growing, growing EBITDA, growing with fiber, upgrading our networks, giving more plans, and all of that. Then if we go to Central America, Central America has been having very good -- sorry.
Camila Koga: Sorry, my question is on the…
Daniel Hajj: So on Central America, we have been also doing very good -- excellent -- gaining share, putting fiber, and putting more coverage and the growth has been very good. The growth on mobile and the growth on fixed, and if we go to Dominican Republic also, America Movil has been exceptional in Dominican Republic. Then we go to Eastern Europe, Eastern Europe has been with a very good growth, expanding, we used to have only mobile, we have fixed all around with broadband. So in all the different countries, we have been doing very good and gaining market share. So just when they talk about Argentina, it's not only Argentina, I think all the other countries has been having an exceptional develop for the last year, so -- Sorry to not to answer your question, but I want to give these comments because we focus in two or three countries, very important countries, but all the other ones are also important and we are doing very, very good also. Sorry, your question again.
Camila Koga: My question was on the [indiscernible] bank. If you could give us more details about it? I want to have idea of how aggressive the bank could be and if maybe they…
Daniela Lecuona: No, Camila, we cannot really understand anything that you're saying, do you want to email me your question?
Camila Koga: Okay. So can -- we can talk later.
Daniel Hajj: Okay. Thank you.
Camila Koga: Thank you.
Operator: Thank you. That's all the questions that we have time for today. I will now turn the call back over to Daniel Hajj for any final remarks.
Daniel Hajj: Thanks to everyone for the call and see you next quarter. Bye-bye.
Carlos Garcia Moreno: Thank you, all.
Operator: Thank you. This now concludes today's call. Thank you for joining. You may now disconnect your lines.